Operator: Good afternoon and welcome to the Monster Beverage Company’s First Quarter 2021 Conference Call. [Operator Instructions] I would now like to turn the conference over to Mr. Rodney Sacks and Mr. Hilton Schlosberg, Co-CEOs. Please go ahead.
Rodney Sacks: Thank you. Good afternoon, ladies and gentlemen. Thank you for attending this call. I am Rodney Sacks. Hilton Schlosberg, our Vice Chairman and my Co-Chief Executive Officer is on the call. As is Tom Kelly, our Chief Financial Officer. Tom Kelly will now read the cautionary announcement.
Tom Kelly: Before we begin, I would like to remind listeners that certain statements made during this call may constitute forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 as amended and Section 21E of the Securities Exchange Act of 1934 as amended and are based on currently available information regarding the expectations of management with respect to revenues, profitability, future business, future events, financial performance and trends as well as the future impact of the COVID-19 pandemic on the company’s business and operations. Management cautions that these statements are based on our current knowledge and expectations and are subject to certain risks and uncertainties, many of which are outside the control of the company that may cause actual results to differ materially from the forward-looking statements made during this call. Please refer to our filings with the Securities and Exchange Commission including our most recent Annual Report on Form 10-K filed on March 1, 2021, including the sections contained therein entitled Risk Factors and forward-looking statements for discussion on specific risks and uncertainties that may affect our performance. The company assumes no obligation to update any forward-looking statements whether as a result of new information, future events or otherwise. I would now like to hand the call over to Rodney Sacks.
Rodney Sacks: Thank you, Tom. The company’s top priority remains the health, safety and well-being of its employees. The company’s flavor manufacturing facilities, its co-packers, warehouses and shipment facilities have operated throughout the COVID-19 pandemic. The company’s bottlers and distributors are operating and the company’s products remain generally available to consumers. In limited countries, the operations of the company’s bottlers or distributors have, in part be negatively affected for varying periods of time. Despite the ongoing impact of the COVID-19 pandemic, the company achieved record first quarter net sales. Currently, the company does not foresee a material impact on the ability of its co-packers to manufacture and its bottlers and distributors to distribute its products as a result of the COVID-19 pandemic. The company’s supply chain remains largely intact. However, the company is experiencing shortages in its aluminum can requirements in North America and Europe given the company’s volume growth and the current supply constraints in the aluminum can industry. The company has taken steps to source quantities of aluminum cans from South America and Asia. However, logistical issues, including ocean freight and port of entry congestion, could delay such supply. Logistical issues in relation to the importation of certain other raw materials and ingredients could impact future supply. Furthermore, we are continuing to experience freight inefficiencies and like other beverage companies are incurring increased aluminum can and other costs in the current environment. In the first quarter of 2021, net sales were $1.24 billion compared to $1.06 billion in the first quarter of 2020, an increase of 17.1%. Adjusting for foreign currency movements, net sales for the 2021 first quarter would have been up 16.2%. Gross profit as a percentage of net sales for the 2021 first quarter was 57.5% and compared with 60% in this 2020 first quarter. The decrease in gross profit as a percentage of net sales for the 3 months ended March 31, 2021 was primarily the result of increased input costs mainly increased raw material freight-in costs, geographical sales mix and higher promotional allowances as a percentage of net sales. Operating expenses for the 2021 first quarter were $300.8 million compared with $272.2 million in the 2020 first quarter. As a percentage of net sales, operating expenses for the 2021 first quarter were 24.2% compared with 25.6% in the 2020 first quarter. Operating income increased 13.5% to $414.1 million, up from $365 million in the first quarter of 2020. Net income increased 13% to $315.2 million as compared to $278.8 million in the 2020 comparable quarter. Diluted earnings per share for the 2021 first quarter increased 14.2% to $0.59 from $0.52 in the first quarter of 2020. According to the Nielsen reports for the 13 weeks through April 24, 2021 for all outlets combined namely convenience, grocery, drug, mass merchandisers, sales in dollars in the energy drink category, including energy shots, increased by 20.3% versus the same period a year ago. Sales of the company’s energy brands, including Reign, were up 17.2% in the 13-week period; sales of Monster were up 20.7%; sales of Reign were down 0.6%; sales of NOS increased 1.4%; and sales of Full Throttle increased 8.1%. Sales of Red Bull increased 27.9%; sales of Rockstar decreased by 11.9%; sales of 5-hour increased 11.6%; and sales of Amp increased 6.9%. VPX Bang sales increased 16.3% and Coca-Cola Energy sales decreased 59.3% with a market share of 0.4%. According to Nielsen, for the 4 weeks ended April 24, 2021, sales in dollars in the energy drink category in the convenience and gas channel, including energy shots in dollars, increased 34% over the same period the previous year. Sales of the company’s energy brands, which include Reign, increased 27% in the 4-week period in the convenience and gas channel. Sales of Monster increased by 30.9% over the same period versus the previous year. Reign sales increased 13.4%, NOS was up 5.7%, and Full Throttle was up 17.2%. Sales of Red Bull were up 41.2%. Rockstar was down 9.9%, 5-hour was up 41.4%, and Amp was up 14.6%. VPX Bang sales increased 35.5% and Coca-Cola Energy was down 45.8%. According to Nielsen, for the 4 weeks ended April 24, 2021, the company’s market share of the energy drink category in the convenience and gas channel, including energy shots, in dollars, decreased 2.1 points to 37.4%. Monster share decreased by 0.7 of a share point to 31.2% and Reign’s decreased 0.5 of a share point to 2.6%, NOS’ share decreased 0.8 of a point to 2.8%, and Full Throttle share decreased 0.1 of a point to 0.7%. Red Bull share increased 1.9 points to 36.9%; Rockstar share was down 1.9 points to 3.8%; 5-hour share was higher by 0.3 of a point at 4.8%; and Amp share remained at 0.4%. VPX’s Bang share increased 0.1 of a point to 7.5% and Coca-Cola Energy share decreased 0.3 of a point to 0.2%. According to Nielsen, for the 4 weeks ended April 24, 2021, sales in dollars in the coffee plus energy drink category, which includes our Java Monster line in the convenience and gas channel, increased 47.5% over the same period the previous year. Sales of Java Monster, including Java Monster 300, were 44.7% higher in the same period versus the previous year. Sales of Starbucks Energy were 53.8% higher. Java Monster share, including Java Monster 300 of the Coffee Plus energy category, which primarily includes Java Monster, Java Monster 300, Starbucks Doubleshot and Tripleshot, Rockstar Roasted and Bang Keto Coffee for the 4 weeks ended April 24, 2021, was 51.1%, down 1 point, while Starbucks Energy’s share was 46%, up 1.9 points. According to Stackline, which tracks energy drink sales by Amazon in the United States for the 4-week period ending April 17, 2021, sales in dollars in the energy category by Amazon, including energy shots, increased 160.1% over the same period the previous year. Sales of Monster increased 163% and its share was 35.6%, up 0.4 of a share point versus the same period a year ago. Red Bull sales increased 135.4% and its share was 13.7%, down 1.4 points. CELSIUS’ sales increased 265.2% and its share increased 4.5 points to 15.5%. 5-hour’s sales increased 29.5% and its share declined 3.2 points to 3.1%. VPX Bang sales increased 306.4% and its share increased 1.8 share points to 4.9%. Reign share increased 0.2 of a share point to 5.1%, and Rockstar share increased 0.6 of a share point to 3.5%. According to Nielsen, in all measured channels in Canada, for the 12 weeks ended March 27, 2021, the energy drink category increased 17.5% in dollars. Sales of the company’s energy drink brands increased 27.2% versus a year ago. The market share of the company’s energy drink brands was 42.1%, up 3.2 points. Monster sales increased 22.2% and its market share increased 1.4 points to $37.1 million. NOS’ sales decreased 4% and its market share decreased by 0.4 of a point to 1.9%. Full Throttle sales increased 0.2 of a percentage point and its market share decreased 0.1 of a point to 0.7%. Red Bull sales increased 24.8% and its market share increased 2.2 points to 37.7%. Rockstar sales decreased 17% and its market share decreased 4.2 points to 10%. Guru’s sales increased 12.8% and its share decreased 0.2 of a share point to 3.9%. Coca-Cola Energy sales increased 36.6% and its share increased 0.1 percentage point to 0.8%. According to Nielsen for all outlets combined in Mexico, the energy drink category increased 18.5% for the month of March 2021. Monster sales increased 19.3%. Our market share in value increased 0.2 of a point to 27.5% against the comparable period the previous year. Red Bull sales increased 17.6% and its market share decreased by 0.1 of a point to 6.8%. Vive 100 sales increased 1.9% and its market share decreased by 3.3 points to 20.3%. Vault’s sales increased 20.1% and its market share increased 0.2 of a share point to 19.1%, while Boost sales decreased 1.3% and its market share decreased 1.1 points to 5.6%. Amp’s sales increased 45% and its market share increased 3 points to 16.4%. Coca-Cola Energy sales decreased 94% and its market share decreased 2.1 points to 0.1%. Predator, which was launched in March 2020, achieved a market share of 2.7%. The Nielsen statistics for Mexico cover single months, which is a short period that may often be materially influenced positively and/or negatively by sales in the OXXO convenience chain, which dominates the market. Sales in the OXXO convenience chain in turn can be materially influenced by promotions that maybe undertaken in that chain by one or more energy drink brands during a particular month. Consequently, such activities could have a significant impact on the monthly Nielsen statistics for Mexico. According to Nielsen, for the month of March 2021 compared to March 2020, Monster’s retail market share in value increased in Argentina from 37.9% to 45.2% and in Brazil from 25.4% to 34.7%. In Chile, Monster’s retail market share decreased from 42.1% to 40%. Monster Energy continues to be the leading energy brand in value in Argentina. I would like to point out that the Nielsen numbers in EMEA should only be used as a guide, because the channels read by Nielsen in EMEA vary from country to country and are reported on varying dates within the month referred to from country to country. According to Nielsen, in the 13-week period ended April 4, 2021, Monster’s retail market share in value as compared to the same period the previous year grew from 15.8% to 16% in Germany, from 19.7% to 28.1% in Italy, and from 17.3% to 20.6% in South Africa. According to Nielsen in the 13-week period till the end of March 2021, Monster’s retail market share in value as compared to the same period the previous year grew from 13.2% to 15.1% in Belgium; from 12.6% to 14.8% in the Czech Republic; from 24.5% to 26.4% in Denmark; from 28% to 31.8% in France; from 22.7% to 27.9% in Great Britain; from 34% to 37.7% in Greece; from 6.4% to 8% in the Netherlands; from 24.7% to 29.1% in Norway; from 15.3% to 18.2% in Poland; from 23.8% to 28% in the Republic of Ireland; and from 34% to 36% in Spain; and from 13.5% to 14.9% in Sweden. The Nielsen numbers in EMEA should only be used as a guide, because the channels read by Nielsen in EMEA vary from country to country. According to IRI in Australia, Monster’s market share in value for the 4 weeks ended April 11, 2021 increased from 10% to 13.1% as compared to the same period the previous year. Mother’s market share in value decreased from 13.6% to 11.8% during the same period. The market share of the company’s brands in Australia for the 4 weeks ended April 11, 2021 increased from 23.6% to 24.9%. According to IRI in New Zealand, Monster’s market share in value for the 4 weeks ended April 18, 2021 increased from 9.9% to 12.7% as compared to the same period the previous year. Live+’s market share in value decreased from 7.4% to 6.5% and Mother’s market share in value decreased from 6.5% to 5.6%. The market share of the company’s brands in New Zealand for the 4 weeks ended April 18, 2021 increased from 23.9% to 24.8%. According to Nielsen, in South Korea, Monster’s market share in value in all outlets combined for the month of March 2021 increased from 52.3% to 54.8% as compared to the same period in the previous year. According to INTAGE in Japan, Monster’s market share in value in the convenience store channel for the month of March 2021 decreased from 62.1% to 50.1% as compared to the same period in the previous year. Monster remains the market leader in Japan. However, our share was negatively impacted by the labeling issue of a product referenced in our fourth quarter 2020 release, which was re-listed on retail shelves in April 2021 by the introduction of new SKUs by new competitor and by the timing of our 2021 innovation. We again pointed out that certain market statistics that cover single months or 4-week periods may often be materially influenced positively and/or negatively by promotions or other trading factors during those periods. Net sales to customers outside the U.S. was $459.4 million, a 36.9% of total net sales in the 2021 first quarter compared with $356.8 million and 33.6% of total net sales in the corresponding quarter in 2020. Foreign currency exchange rates had the effect of increasing net sales in U.S. dollars by approximately $9.3 million in the 2021 first quarter. Included in reported geographic sales are our sales to the company’s military customers, which are delivered in the U.S. and transshipped to the military and their customers overseas. In EMEA, net sales in the 2021 first quarter increased 27.7% in dollars and increased 21.2% in local currencies over the same period in 2020. Gross profit in this region as a percentage of net sales in the first quarter was 37.3% compared to 43.1% in the same quarter in 2020 primarily...
Tom Kelly: 41.3%, sorry.
Rodney Sacks: 41.3% primarily due to unfavorable country and product mix. We are also pleased that in the 2021 first quarter, Monster gained market share in Belgium, the Czech Republic, Denmark, France, Germany, Great Britain, Greece, Italy, the Netherlands, Norway, Poland, the Republic of Ireland, South Africa, Spain and Sweden. In Asia-Pacific, net sales in the 2021 first quarter increased 24.8% in dollars and 17.4% in local currencies over the same period in 2020. Gross profit in this region as a percentage of net sales, was 48.8% versus 42% over the same period in 2020. In Japan, net sales in the 2021 first quarter increased 9.2% in dollars and 4.1% in local currency. In South Korea, net sales increased 17% in dollars and 9.6% in local currency as compared to the same quarter in 2020. In China, net sales increased 59.4% in dollars in the 2021 first quarter and 48% in local currency as compared to the same quarter in 2020. In Oceana, which includes Australia, New Zealand, Tahiti, French Polynesia, New Caledonia, Papua New Guinea and Guam, net sales increased 66% in dollars and 47.8% in local currencies. Sales of the Monster brand in Oceana increased 65.6% in dollars and 48.1% in local currency as compared to the same quarter in 2020. In Latin America, including Mexico and the Caribbean, net sales in the 2021 first quarter increased 35.7% in dollars and increased 55.9% in local currencies over the same period in 2020. Gross profit in this region as a percentage of net sales was 37.9% compared to 42.5% over the same period in 2020 primarily as a result of foreign exchange rates as certain raw materials and ingredients for products in this region are purchased in U.S. dollars. In Brazil, net sales in the 2021 first quarter increased by 34% in dollars and 70.1% in local currency. Net sales in Chile increased 48.9% in dollars and 37.7% in local currency in the 2021 first quarter. Since our last earnings call in February 2021, there have been no significant updates on our litigation with Vital Pharmaceuticals Inc., the maker of Bang energy drinks. As this litigation and other pending proceedings with VPX are subjugate, we will not be answering any questions on this matter on today’s call. In the United States, during early January 2021, we converted our 10-pack Monster portfolio into 12 packs. In late January 2021, we launched Reign Cherry Limeade and Reign White Gummy Bear as well as Reign Inferno Watermelon warlord. We also launched Monster Ultra Gold in singles and in a 4-pack. In late February 2021, we launched four core flavors: Monster Green, Low-Carb Monster, Monster Zero Ultra and Monster Ultra Paradise in 12-ounce slim cans targeted to the convenience retail channel and food service channel. In late March 2021, we converted our entire Monster Hydro portfolio into 20-ounce PET containers and added 2 new Monster Hydro Super Sport SKUs, Kilo Kiwi and Macho Mango. In late March 2021, we also launched Rehab Monster Strawberry Lemonade as the first non-tea option in the Rehab Monster brand family. We refreshed 2 SKUs during the first quarter of 2021, Monster Max Super Dry into Monster Nitro Super Dry in a 16-ounce can as well as a refreshed design on Monster result. This summer, we are also planning to launch a new line of energy drinks under the True North brand name in 12-ounce sleek cans, which will contain an organic plant-based energy blend and ingredients for immunity support. Initially, True North will have a limited target in 2021, with plans for a full launch into mainstream channels in 2022. We are planning to launch additional new products later in 2021. In Canada, during early January 2021, we launched Monster Ultra Fiesta, Java Monster Oat Milk as well as Monster Ultra Paradise 4-pack. Later in February 2021, we launched Monster Ultra Paradise in singles as a 310 ml option. In early March 2021, we launched Reign Lilikoi Lychee singles and Reign Orange Dreamsicle in singles and a 4-pack. We also launched NOS Turbo in March 2021. In February 2021, we launched Pacific Punch in Mexico and in Honduras we launched Mean Green, our second flavor of Fury, which is one of our affordable energy brands. In March 2021, we launched Ultra Watermelon in Puerto Rico and Ultra Paradise in Aruba. We introduced a number of SKUs across EMEA in the 2021 first quarter. Highlights include the geographical expansion of a number of existing Monster Reign and strategic brand products into new countries, including Juice Monster Pacific Punch, Juice Monster Monarch, which is Papillon in non-EMEA markets, Juice Monster Mango Loco, Juice Monster Pipeline Punch, Monster Ultra Paradise, Monster Ultra Fiesta, Monster Zero Ultra, Monster Ultra Blue, Black Monster Ultra Sunrise in Russia, Monster Mule, Burn Zero Peach and Play Zero Peach. Various Reign SKUs, including Reign Melon Mania, Sour Apple, Razzleberry, Peach Fuzz, Orange Dreamsicle and Lemonades were launched in Belgium; the Netherlands, South Africa, Estonia, Latvia, Lithuania, Sweden and Germany in the first quarter of 2021. In January 2021, we launched Ultra Rosa market-wide in Australia, following an exclusive lead launch with one chain in the fourth quarter of 2020. In March 2021 in New Zealand, we launched Monster Super Fuel in both Purple Passion and sugar-free flavors. During the 2021 first quarter in Japan, we launched Monster Energy Super Cola with our distributor, Asahi Soft Drinks. Additionally, we began shipments in the quarter in Japan for the re-launch at retail of Ultra Paradise in April 2021. During the 2021 first quarter, we launched Pipeline Punch in Hong Kong and Macau and began distribution of Monster Energy Zero Sugar in the Philippines. We are planning to launch a number of additional products and/or market lines in our domestic and international markets later this year. During the 2021 first quarter, no shares were repurchased under the previously authorized repurchase program. As of May 6, 2021, approximately $441.5 million remained available for repurchase under the previously authorized repurchase program. We estimate April 2021 sales to be approximately 71.3% higher than in April 2020. On a foreign currency-adjusted basis, April 2021 sales would have been approximately 67.8% higher than comparable April 2020 sales. April 2021 had the same number of selling days as April 2020. Please keep in mind that the comparative April 2020 sales were materially adversely impacted by the COVID-19 pandemic. In our 2020 first quarter conference call to shareholders, we reported that April 2020 sales were 22.2% lower than our April 2019 sales, with the same number of selling days in both periods. In this regard, we are caution again that sales over a short period are often disproportionately impacted by various factors, such as, for example, selling days, days of the week in which holidays fall, timing of new product launches, the timing of price increases and promotions in retail stores, distributor incentives as well as shifts in the timing of production, in some instances where our bottlers are responsible for production and unilaterally determine their production schedules, which affects the dates on which we invoice such bottlers as well as inventory levels maintained by our distribution partners, which they alter unilaterally for their own business reasons. We reiterate that sales over a short period such as a single month should not necessarily be imputed to or regarded as indicative of results for a full quarter or any future period. If the COVID-19 pandemic and related unfavorable economic conditions continue in certain regions, our new product innovation launches in those regions could be delayed. In conclusion, I would like to summarize some recent positive points. One, currently, the company’s flavor manufacturing facilities, its co-packers, warehouses and shipment facilities and bottlers and distributors are all operating. We are continually addressing our aluminum can requirements given our volume growth and the current supply constraints in the aluminum can industry. We are pleased with the new additions to the Monster Energy portfolio and are planning additional launches later in the year. Three, we are planning to continue additional launches of our Reign Total Body Fuel high-performance energy drinks in additional international countries. Four, we are pleased with the rollout of Predator and Fury and our affordable energy drink portfolio internationally. We are proceeding with plans to launch our affordable energy brands in a number of international countries during the year. Five, finally, please note that similar to last year in the light of the COVID-19 pandemic, we will conduct our annual stockholders’ meeting exclusively as a viral meeting via live webcast. Additional information regarding attending the annual meeting, voting your shares and submitting questions can be found in the company’s proxy statement. I’d like to open the floor to questions about the quarter. Thank you.
Operator: [Operator Instructions] The first question is from Bonnie Herzog of Goldman Sachs. Please go ahead.
Bonnie Herzog: Hi, everyone.
Hilton Schlosberg: Hi, Bonnie.
Bonnie Herzog: I wanted – hello. I wanted to ask you guys about the shortages of cans you’re experiencing. Could you give us a sense of how big of a driver that was of your gross margin contraction in the quarter? I mean was it the bulk of that, for instance? And I’m curious to hear if the situation has deteriorated further in April and May? And then finally, when do you expect the shortage situation to improve or maybe stabilize? I mean, I guess, trying to understand if we all should assume this will be a pretty big issue for the remainder of the year? Thanks.
Rodney Sacks: Okay. So maybe I can get that, Bonnie. So what happened when we set our can requirements with our can companies about a year ago, we estimated that our sales would be 10% to 12% or up this year. In fact, as you can see, they are substantially above that. So whatever we contracted for, we’ve got. What happened with our sales in January and February, ourselves were doing okay. And then in March, they have spiked up. And as Rodney quoted, in April, they are spiked up yet again. So what we’ve done is we’ve procured additional cans from South America and from Asia that will start coming in late in the second quarter. We also have new can companies that are opening their doors later this year, and we will be drawing cans from those companies as well. So to answer your question about the first quarter, yes, there was an impact. And the big impact, as we mentioned, in the release and on this call is that the bigger impact was these freight in costs where we were drawing product, for example, from Canada, and we were shipping product from various locations to our distribution center that impacted cost of sales. We also had – we broke our orbits. In other words, we’ve always tried to manufacture and sell within regions to avoid excessive shipping costs. We had to break that this year to satisfy consumer demand and so that was another factor that impinged on the results. But the margin was impacted by – not only by those freight costs, but – excuse me, as we mentioned by the promotional allowances that were higher in the second quarter across the board. And also, from our geographical sales mix, because as you know, we sold a significantly higher percentage of product overseas than we did in the U.S. So it’s the same story that we’ve experienced and we’ve spoken to shareholders, the more we sell overseas, the lower is our gross margin percentage. But again, I must caution shareholders that we bank dollars, we don’t bank gross profit percentages. And in taking the decisions we took in the first quarter, it was important to do so to satisfy demand. We knew the profitability would be higher, but the percentage may, in fact, be lower, which it was.
Operator: The next question is from Laurent Grandet of Guggenheim. Please go ahead.
Laurent Grandet: Yes. Good evening everyone. And actually, I want to dig a bit more in what you’re just saying in terms of gross margin. So you mentioned freight, so I understand that’s the number one. The aluminum cans, you mentioned also, I mean, promotional activity. So if we were to put some numbers, it’s freight, 50% of the impact. I mean aluminum can and now maybe 30% and promotional activity, 20%. I’d like to basically understand this a bit better. If you can, give us an idea here, that would be great? Thank you.
Hilton Schlosberg: So Laurent, we spoke about the first quarter. In the first quarter, the impact of the aluminum can costs were not a major factor. And as you know, and everyone else on the call probably knows as well that we have suffered significant and will set a significant increases in aluminum costs going forward. So for example, it’s no secret, but if you look back on a year ago, aluminum costs are up 83.6%, including the Midwest premium in the U.S., and they are up 71%, 71.1% in Europe. So as we go forward, we may not have some of the cost impacts on gross margin, but we certainly will have impacts on aluminum in the second and subsequent quarters. So for me to talk more about the first quarter, we don’t actually give the numbers out that you’re asking for. But what I can say is that I don’t expect the margins to improve going forward this year. I expect that we will not – that our margins will not improve as we go into the second, third. Possibly the fourth quarter, I think things will be better. That’s my analysis. But certainly in the second and third quarter, we will continue to suffer gross margin percentage in our stress gross margin percentage erosion.
Operator: The next question is from Chris Carey of Wells Fargo Securities. Please go ahead.
Chris Carey: Hi everyone. 
Hilton Schlosberg: Hi, Chris.
Chris Carey: So obviously, a big – hey, so obviously, a big number quarter to-date. And I guess the question is, with the aluminum supply shortages that you have, are you going to run into some issues with the ability to fill that demand? And could that prevent you from doing some things that might help with your gross margin, which sounds like they could improve by Q4, like taking any pricing in the business?
Hilton Schlosberg: So that’s obviously something that we’re very aware about on pricing. I know what some of our competitors, some of the big beverage companies have spoken about with regard to pricing. But I’m not sure that we would take – move ourselves. Last time we went ahead and did it irrespective of Red Bull’s strategy with regard to pricing. They – I think this time around, we’re examining what they will be doing. Remember, they are importing a substantial amount of their cans and product from overseas. So we will be watching that. But there are other ways to take price up, for example, we can reassess, which we are doing, structure of promotional allowances to move margins in a more positive direction. But again, we don’t want to disturb the business that is doing very well. Our share is – we’re happy with where the business is going. We’re happy with our share, and we know when to disturb what we already have. So we bring in cans from abroad, as I said, we’re getting new cans in the system later on in the year. And as far as we’re concerned, we will continue to examine the opportunity to take price. And if necessary, as I’ve said, we’re looking at on our promotional allowances as well.
Operator: The next question is from Andrea Teixeira of JPMorgan. Please go ahead.
Andrea Teixeira: Hi, thank you, and good afternoon. On the True North Organic Energy launch, should we assume that the impact will be mostly concentrated in the second half, and particularly in 2022? And does that mean you have decided to remain in non-alcohol segment and you’re not launching a hard seltzer for now? And then hit on the gross margin, and I appreciate your commentary maybe perhaps we should assume that it may get worse before it gets better, given the freight and aluminum have actually been sequentially worse? Thank you.
Rodney Sacks: Perhaps I’ll take the part of it, and Hilton can take part of it. On True North, we are, as I indicated, we are going to have limited sales just going into and seeding the market this year. The full launch and rollout will take place early in – from the beginning or early in 2022. So it will – we think it will have an impact in 2022, and we will have much less of an impact this year.
Hilton Schlosberg: Okay. Andrea, you were talking about margins. As I said, I don’t think margins will get better in the second and the third quarter, margin percentages, but with robust sales which is obviously something that we’re looking at in terms of our own forecasting, although we don’t give guidance, we must look at the bottom line, and we must not necessarily look at percentages. Because what we have to do as part of our everyday function is to satisfy the demand of our customers because the last thing we want to do is to have our bottlers on the line without inventory, our consumers gravitating to other products. And we have to maintain the status quo. The company is doing really well on the top line. And we, hopefully, will continue to do so.
Rodney Sacks: Yes. Just – and then just to complete your question with regard to the alcoholic CELSIUS side. I don’t think you can assume that we are going into it or not going into it. Don’t make that assumption. We’ve addressed the nonalcoholic sell some market. We’ve decided a strategy, and we’ve developed products. And align, and we are going to launch that line. As regards to alcoholic sensing, we are still looking at the market. I think if you have been watching the market, I’m sure the analysts have been. I think you’ve seen quite a lot of – a fortune of new products being launched, many – in cases from the same companies, just different variants. Throwing them against the wall and seeing what’s going to stick. What you’ve also seen in the last 3 months, what we’ve noticed is quite a falloff in the rate of increase in the category. And as the category is maturing, so the increase is also tempering. So we are involved in looking at that category in developing products and as I think I’ve said in the last call, we simply don’t want to launch a product. That’s me-too and that follows everyone else. It’s just no point in that and taking the time and effort and detracting from our focus on our core energy brands and portfolio, where we get a better return and have, obviously, it’s much easier for us to get meaningful sales. But we are continuing to monitor the alcoholic energy seltzer category. And we may well do something in that. But how we do it and what we do it is still not being determined and still not – we don’t have a firm direction. So, all I can really say is just that we are addressing it, but we shouldn’t assume that we are definitely going to go ahead or definitely not going to go ahead or how.
Operator: The next question is from Mark Astrachan of Stifel. Please go ahead.
Mark Astrachan: Yes. Hey, thanks, and good afternoon everyone. I guess, don’t kill me I am going to ask a bunch of it for follow-up questions here so helping restrain yourself for a second.
Hilton Schlosberg: Sure. 
Mark Astrachan: I guess on – are can shortages impacting your U.S. market share, if not, or if they are, could you maybe just talk about kind of what you’re seeing in the U.S. also, could you clarify on the gross margin you’re talking about relative to 1Q levels for 2Q and 3Q? Or are you talking about – you’re not giving us any sort of color on 2Q and 3Q relative to 1Q? And then back to the other question on pricing and then related to promotional allowances. So your capacity constrained, at least for the time being, what’s the harm in taking price to constrain the demand and then also, you’re suggesting then the promotional allowances after 1Q will lessen in 2Q, 3Q kind of for the same effect?
Hilton Schlosberg: Okay. So where do you want me to start? So I think it is fair to say that out of stocks have impacted share. I don’t know how big that impact is. And I’m not going to because honestly, we don’t know. But what we do know is that Red Bulls on-premise has moved into the measured channels. There is no question about that. I think we underestimated the impact of their on-premise business moving into major channels. However, our share is doing nicely. Our sales are growing very nicely. And frankly, we are selling everything that we can make. And what you guys are not seeing or not addressing is things like Amazon. We spoke about the Stackline data and our other unmeasured channels, for example, the Home Depots and the Lowe’s and the home improvement stores and all those other parts of the business that are very strong for us are continuing to grow and continue to gain share in those particular channels. So overall, I think we are satisfied with where we are, as I said earlier. And we’re anticipating that as soon as we they can start coming to the U.S., and we start being in a more orderly situation that we will continue to grow again as we anticipate. So that was one question. Your second question was on margins. And I think I said that I expect my personal view, and this is not guidance, but I expect margins to get worse in the second and third quarter before they get better. So that’s my answer to that. Mark, just remind me, what are your other questions?
Mark Astrachan: Pricing and promotional allowances relative to capacity constraints.
Hilton Schlosberg: Okay. I think pricing, I said to you, we’re continuing to evaluate. And we’re doing this on a honestly, on a daily basis. We would like Red Bull to lead, but if they don’t lead, we will make a decision as to where we should or shouldn’t go with regard to pricing. With regard to promotional allowances, that is correct. We will – we are putting back promotional allowances, and you should see – we should see some impact in future quarters.
Operator: Next question is from Dara Mohsenian of Morgan Stanley. Please go ahead.
Dara Mohsenian: Hey, guys. So just one quick clarity question and then one broader question, just – it does sound like there is a little bit of demand impact from the lack of full supply on the aluminum side. Are you expecting that to be a significant issue in Q2 before it gets better and you get some of this incremental supply in, just trying to understand that in the short-term? And then just a broader question, we’ve obviously seen an acceleration in U.S. energy category growth the last few quarters after the initial weakness for a few months post-COVID. Can you just review what you think the key factors have been behind that acceleration in U.S. category growth? How sustainable they are going forward as we sort of look to that cycling that higher category growth in the back half of the year? Thanks.
Hilton Schlosberg: So maybe I’ll just take the first one, and then we will get Rodney to take the second one. So Dara, if you look at April sales, for example, and you take out – you strip out what happened in 2020. And you can see that there was a very big impact in sales in the second quarter and a very positive impact. So it is presenting challenges to the supply chain team, and we are doing everything we can to ensure that we’re able to keep as much as possible in stock. In fact, we’re focusing on the SKUs that are generating the significant part of our volumes at the expense of SKUs that are not performing as well. So that’s really where we’re at with regard to the second quarter. We will be getting cans in. If these port issues resolve themselves, and we will – we’re trying as best as we can to get back in stock as soon as possible.
A - Rodney Sacks: Yes. Just to – just add – just one thing. The uncertainty that we’ve got is, obviously, for cans that we’re importing, we are also incurring freight costs above the aluminum cost or can price. So that’s why those costs will go up the shorter term. As the additional plants in the U.S. come on stream, we will get back to a more normalized pricing structure for cans and get the additional volume. So it’s a little difficult now to predict exactly where we’re going to go on a month-to-month or quarter-to-quarter basis, but we think it will normalize, as Hilton said, towards the fourth quarter. With regard to the increased category, I think we’re already in a world of just unknowns. The category had a really steep hit rewards in late March, early April last year. Different in different parts of the world, when a lot of the bottlers literally took their staff and people teams out of the markets. But it has come back and the growth has come back really, really nicely. And so one of the things that we were – which were sort of unusual, we found that the growth was generally, historically has always been led by the convenience channel at a higher rate than the mainstream grocery and drug channels. And that sort of reversed itself with COVID. So again, you’re looking at factors that are just not normal. What we have seen, as you can see from the last 4 weeks numbers, we quoted in Nielsen from convenience, that started to pick up again quite nicely. So again, we’re in a very uncertain period because of what happened last year and your comps on last year. But even if you look at the 2-year stack sort of set of numbers, you’re getting some healthy growth back, where the category had slowed a little bit towards the end of ‘19, the growth was – they were still growing a bit slower. So we think that we will see continued growth regardless of how we come out of COVID and how our people come back into the markets. And we are hopeful for that. But again, it’s – we just can’t predict that at this stage. Our numbers are good. The numbers are strong. And Red Bull’s numbers have been strong again, a little bit, we think, skewed by the switch from on-premise to off-premise, but continue to grow. And obviously, we are the main players in the category. And so, the category growth is driven by our – respectively, by our two brands respective sales. So I think it all goes well for us, but we just don’t have any – I can’t give you any further color on it because we would be guessing, I think we all are.
Tom Kelly: Yes. So the only thing I would add to that is that I always look at the first quarter of 2020 because that was kind of a pure quarter for us. COVID started kind of late in the quarter, where our sales were already in-house. And so the first quarter for us was really 2020 was really kind of a normal quarter. And if you look back to that first quarter, and I always do. First quarter net sales in 2020 over 2019 rose 12.3%. So even as we entered into COVID, our sales were strong.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Sacks and Mr. Schlosberg for closing remarks.
Rodney Sacks: Thanks very much. On behalf of Monster, I’d like to thank everyone for their continued interest in the company. We continue to believe in the company and our growth strategy it’s remain committed to continuing to innovate, develop and differentiate our brands and to expand the company both at home and abroad, and in particular, expand distribution of our products through the Coca-Cola bottling system internationally. We believe that we will be able to navigate through the challenges ahead as a result of the COVID-19 pandemic and hope that this unfortunate situation will resolve itself in the near future. We believe that we are well positioned in the energy drink category and continue to be optimistic about our total portfolio of energy drink brands. We hope that you will all stay safe and healthy. Thank you very much for your attendance.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.